Operator: We would like to now start LINE Yahoo! Corporation's Fiscal '23 Full Year and Q4 Zoom webinar. Thank you for joining today. At this briefing, we will use the material that is posted on the website regarding the financial results. Today, we have with us President and Representative Director, CEO, Takeshi Idezawa; and Executive Corporate Officer and CFO, Ryosuke Sakaue; and Yuki Ikehata, Executive Corporate Officer, Marketing Solution Company CEO; and Hiroshi Kataoka, Executive Corporate Officer, Media Company CEO; Makoto -- Hide Makoto, Executive Corporate Officer of the Commerce Company CEO; Fujimon Chiaki, Executive Corporate Officer, Search Services Company CEO. First, Mr. Idezawa will speak about the results for fiscal '23 and Q4 which will be followed by a Q&A session. We plan to have a 1-hour meeting. This briefing is being live streamed. Regarding the live stream, when you were viewing, if there are any problems with the audio or video, please try moving to a different server from the bottom of the screen. So now without further ado, we would like to start.
Takeshi Idezawa: Thank you very much. I am Idezawa of LINE Yahoo! Corporation. Thank you very much indeed for joining us. We would like to now announce the FY '23 full year and Q4 business results. But first of all, we would like to deeply apologize for the concern and the inconveniences caused to our users and other concerned parties by the information leakage due to the unauthorized third-party access to our system. We will continue to focus on establishing security governance so that our users can use our services with peace of mind. So let me start with the FY '23 full year business results topics. Adjusted EBITDA increased 24.7% year-on-year to JPY414.9 billion with improved profitability, revenue was JPY1.8146 trillion, both at new records for the fourth consecutive fiscal year. In FY '23, adjusted EBITDA of the strategic business achieved profitability for the first time as for a year. FY '24 guidance is that revenue of JPY1.93 trillion, up 7% year-on-year. Adjusted EBITDA is JPY430 billion to JPY440 billion, up 3.6% to 6% year-on-year. By revamping the Yahoo! JAPAN app and also the LYP Premium and the LINE revamping, we will be enhancing the gateway to promote top line growth. The Security Governance is our top priority at this moment. We'll be gradually ending the outsourcing relationship with NAVER to establish the independence of the technology. And the majority of the Board of Directors will be outside Independent Directors. So we will be separating the management from the execution to enhance governance. Now, I'd like to cover those agenda items one by one, starting with the consolidated business results. The revenue grew year-on-year, driven mainly by PayPay integration. Adjusted EBITDA increased more than 20% year-on-year with cost optimization and selective focus on key business areas. Adjusted EBITDA margin also improved 3 percentage points. Factors behind changes in adjusted EBITDA is shown. LINE Yahoo! Corporation's growth profit grew and SG&A was reduced and selective focus on key business areas contributed to the full year profit. This is the factors behind the change in operating income. Excluding onetime gains, such as gain on remeasurement, operating income increased more than 15% year-on-year on improved adjusted EBITDA with business growth despite higher depreciation. Factors behind changes in the adjusted net income is shown here. As subsidiaries grew, noncontrolling interest increased. Higher operating income and improvement of other nonoperating income and expenses and equity in losses of associates and joint ventures led to significantly higher profits. Next is business results and topics by segment. First of all, the Media business. The main data. Account ads grew and both revenue and profit increased. The margin also improved to 36%. This is a breakdown of advertising revenue. Account ads grew by 22.3% year-on-year, driving the entire group. The market condition's gradual recovery continued and display ad growth rate also improved. Now going to Commerce business. Revenue increased 3.6% year-on-year with the growth of ZOZO and ASKUL. Adjusted EBITDA grew by 25% year-on-year, a significant growth, especially thanks to the cost optimization of Yahoo! JAPAN Shopping. Now turning to domestic e-commerce transaction value. Domestic shopping transaction value decreased by 1.7% year-on-year. However, the growth rate has bottomed out. And with the LYP Premium launched in November last year, in Q4, Yahoo! JAPAN shopping transaction value grew 10% year-on-year. Domestic services, with the absence of the nationwide travel subsidy of the last year, travel decelerated but the domestic service business increased 4.8% year-on-year. Next is strategic business. Revenue grew by about 51% year-on-year mainly because of the growth of PayPay and PayPay card. With business growth and as a result of the selective focus on the key business areas, adjusted EBITDA achieved profitability for the first time in full fiscal year. This is the PayPay business overview. Consolidated GMV increased about JPY2 trillion year-on-year. Consolidated revenue exceeded JPY200 billion. With better control of expenses, the consolidated EBITDA achieved profitability for the first time in fiscal year. Next is FY '24 policies. So those are the items I'd like to cover. First of all, starting with the security measures. Once again, I'd like to apologize for causing concern and inconveniences to the users due to the information leakage because of the unauthorized access. This is the overview of this incident. Malware infection of the subcontractor's PCs and other factors triggered multiple cases of unauthorized third-party access to our system. This led to the information leakage of users, business partners, employees and other personnel. This shows the causes of the incidents and our main recurrence prevention measures. One of the major reason was the common authentication system between NAVER Cloud and former LINE Corporation. There was a wide network access allowed. Also, the management of the subcontractor was insufficient. So in order to prevent the recurrence, we will enhance the management of the subcontractors and we will block unnecessary telecommunication and separate the authentication system. And we have introduced a 2-factor authentication to improve the security level. This is the detailed schedule or timetable for the employee system separation. What is shown in light blue is the more urgent measures such as setting up the firewalls and blocking the unnecessary telecommunication. Already we have completed those. As for the separation of the employee system from the neighbor and the authentication system, our own measures will be completed within this fiscal year. What is shown in red, those are our own standalone measures and those will be completed within this fiscal year. At the bottom, we are showing the 2 lines showing the domestic and overseas subsidiaries' timetable. And we will try to further accelerate this timetable as much as possible. In addition to the employee system, we have also started to terminate outsourcing relationship with NAVER in the area of the services and business domains. We decided to end the relationship on the development and verification of the Yahoo! JAPAN search. And basically, other outsourcing relationship will also be terminated. Most of the outsourcing have ended and brought in-house, or alternate measures being found. If there are any continuation of such relationship, we will make sure to take safety measures and explain them to users. And the detailed plans will be shared with you in July. In order to enhance the security governance directly under the President, we have set up the Security Governance Committee and also we have set up the Group SI -- SO or CISO Board, including SoftBank Corporation. I'd like to explain 2 points regarding the impact on our business and financial performance. First, we will place priority on accelerating security enhancement measures and expect to spend approximately JPY15 billion in fiscal '24. Second, we have revised the timing of the start of the linkage between LINE and PayPay accounts which we previously stated would be within fiscal '24. And the timing now will be yet to be determined. We will firmly implement the enhancement of security governance at LINE Yahoo! first. We will also review our management structure to strengthen corporate governance. One independent outside director will be added to the Board of Directors, making outside directors the majority and internal directors will be 2, Idezawa and Kawabe, under a structure to promote the separation of management and execution. The proposal will be submitted to the AGM on June the 18. The ratio of outside directors will be 67% which will enable us to make policy decisions from a variety of perspectives, not limited by internal theories and strengthen governance. Myself, Idezawa and Kawabe will be responsible for governance, including security measures as Directors. While our CPO, Mr. Shin and CSO, Mr. Oketani, will be stepping down from the Board and will be concentrating on promoting the businesses as both CPO and CSO. In addition, Mr. Takahashi, the new outside Director has been involved in PMI of overseas subsidiaries in the Dentsu Group -- or Ms. Takahashi that is and we have selected her because we believe she is best suited to build a global governance structure. As for the capital transfer at the parent, we continue to make requests and negotiations are underway between SoftBank and NAVER but no decision has been made as of today. Next about product reinforcement. In fiscal '24, we will reinforce service gateways of LINE Yahoo! Premium, LINE renewal and Yahoo! JAPAN application renewals and we will further promote the implementation of Gen AI services, leading to growth in our main businesses of search, advertising, commerce and PayPay. First is LYP Premium. As a result of a major campaign in February this year, the number of members in the fourth quarter increased by approximately 1 million from the third quarter to 24.44 million. We plan to add more benefits in the future. And by increasing the attractiveness of LYP Premium, we aim to expand the number of paying members and leverage it as a foundation for a service collaboration. As for LINE renewal, development is progressing smoothly toward renewal by the end of fiscal '24, as introduced at the Q2 financial results meeting. We also plan to renew the Yahoo! JAPAN app during the first half of fiscal '24. Yahoo! JAPAN's app's DAU grew significantly at the time of the 2015 relaunch and has been expanding steadily since then. As a trend, users who use multiple domains visit more frequently and we aim to improve user convenience and further revitalize the service by revamping the tab structure to provide both mass and personal information in real time in line with user needs. We also expect to contribute to search by expanding the number of sessions. Now regarding search. For search services, we have adopted a strategy of particularly strengthening the 3 important query areas of commerce, local and knowledge. And the integrated Commerce Search launched in fiscal '23 is growing steadily. In fiscal '24, we will further expand the number of products to increase the convenience and transaction volume of the integrated commerce search as well as the growth of the search service as a whole. Next is advertisement. In account ads, we will work to enhance monetization through functional improvements and improve credibility through abuse prevention measures. In display advertising, although there is a concern about the decline in ad sales due to the upcoming elimination of all third-party cookies, we will aim for sustainable growth through account linkage, data integration, renewal of the media and app platform integration. Next is Yahoo! Shopping. In addition to intrinsic improvements in the product, cross-use has progressed since the start of LYP Premium and transaction value grew by 10% Y-o-Y in Q4. Going forward, we will continue to implement measures to promote cross use, such as the establishment of a new shopping tab on the LINE app in an effort to increase transaction value. Next is PayPay. PayPay will aim for top line growth and improved profitability. In addition to increasing average spend and revolving credit interest income, we will also promote usage by unifying the experience of code and credit card payments and diversify financial revenue. In the current fiscal year, PayPay will also aggressively pursue profitability improvement measures such as fixed cost reduction. Next is about GEN AI. LINE Yahoo! is utilizing Gen AI based on a multi-vendor strategy that selects the most appropriate engine for the service to be implemented from a wide variety of engines. In fiscal '23, LINE Yahoo! utilized AI for services for our consumers, corporate clients and internal use and used AI for 16 services, mainly for consumers. In fiscal '24, we will further accelerate implementation in services such as LINE and advertisement. Next, I'd like to explain our approach to cost allocation in fiscal '24. While continuing last fiscal year's cost optimization policy in fiscal '24, we will make disciplined investments in security measures which are our top priority and in product reinforcement which will be the key to future growth. We will invest about JPY15 billion per year in security measures which includes the shift to self-management from consignment to NAVER. And we'll firmly promote the strengthening of security governance. Here's the earnings guidance for fiscal '24. Adjusted EBITDA is expected to increase by 6% to 8.5%, excluding the onetime gain from ASKUL. Adjusted EPS is expected to be similar to fiscal '23, excluding the onetime gain in fiscal '23. Here is the consolidated full year guidance for fiscal '24. Revenue and adjusted EBITDA are expected to be JPY1.93 trillion and JPY430 billion to JPY440 billion, respectively. As we view the improvement of capital efficiency as one of our key management themes, we are disclosing new adjusted EPS guidance for this fiscal year. We aim to increase revenue and profit through disciplined cost allocation and business growth through product reinforcement. We disclosed our capital allocation policy at the time of Q2 financial results and we will continue to work on improving both the numerator and denominator in order to recover adjusted EPS. In fiscal '23, as profits grew, additional investment and capital policy buffers increased by JPY15 billion. We aim to increase adjusted EPS to over JPY20 in fiscal '25, exceeding the fiscal '23 level by expanding adjusted EBITDA and reducing equity accounted losses of affiliates. Lastly, once again, I would like to express my sincere apologies for the great inconvenience caused to our users and to the many parties involved by the security incident. First of all, we will firmly promote the termination of the NAVER consignment and internalization for both internal systems and services business areas will be worked upon, as we have indicated today, to improve security governance from various aspects and to create an environment where users can use our services with a peace of mind which is the top priority for the entire company. We have also changed our management structure. We will also change our management structure to separate management and execution, strengthen governance and work to enhance corporate value through service and business growth. That is all for me. Thank you very much.
Operator: [Operator Instructions] First, from SMBC Nikko Securities, we have Mr. Maeda.
Eiji Maeda: I am Maeda from SMBC Nikko Securities. Yes, I have two questions. First question is about the security measures, JPY15 billion and the content and also if this would shift your profit and loss -- is it the term of expenses? Or is this going to be a onetime or is this going to be a continuous expenses? That's my first question. The second question is about the Yahoo! Shopping, Yahoo! JAPAN Shopping. GMV grew by more than 10%. So is this sustainable? If possible, the per customer spend and the frequency and the retention, if you can give us the breakdown of this, including the outlook and also the profitability in the strategic security measures and the Yahoo! Shopping. Those are the two major questions that I have.
Takeshi Idezawa: About the first question, Sakaue-san will answer. And the second question will be answered by Hide-san.
Ryosuke Sakaue: Yes. About your first question about the JPY15 billion security measure budget, as you saw on the slide, the employee system portion, network separation included setting up the firewall, there is about 50% of the total. And the remaining half is on the separate slide that is services and business domains that are for users. What we provide for the users and bringing some of them into in-house or we need to use the alternate vendor solutions. So that we can terminate the outsourcing relationship with NAVER. So that would be the half of it. And whether it is onetime or is it going to be the capital related. Right now, we are still looking into the final number. But most of them at the JPY15 billion will be for the fixed time or fixed time of period. And for FY '25, the employee system part, there are some continuing in FY '25 and also the service businesses. We will not be able to end everything in FY '24. So it will continue in '25. So the similar level of the budget will be necessary for FY '25. But '26 and onward, we believe that it would be smaller. So we have to make sure that we maintain the system well. But the number -- the cost would be lower starting with FY '26. That's what we are estimating right now. That's my answer to your first question.
Makoto Hide: Yes. To your second question about the Yahoo! Shopping, I would like to answer. My name is Hide. In Q4, more than 10% growth was recorded and there was a very strong growth. And the reason for that is the cost optimization measures started 2 years ago from the second half. So it has run its course. In addition to that, LYP impact was a major reason behind the increase. LYP impact, we had a major campaign to attract the new LYP members and the use of commerce from there. So becoming the new customers. So new customer acquisition was the first part. And as it was mentioned, more than 1 million members and more than 50% use of the commerce was realized. So we have expanded the customer base. So from this fiscal year and onwards, what we gained in Q4 last year will be using our shopping. And in the medium to long-term, they will start to contribute. In addition to that, in Q4, there was another campaign for the existing premium members. So when they buy on Sundays, you can get extra point. So this campaign actually improved or increased the GMV. So we have more than 20 million Premium members. So they used more than before. So that pushed up the GMV. And LYP is with the new additional point, the LYP members have been reactivated. And the notice of the campaign was done through LINE. And this was something that we did newly in addition to the Yahoo!, we used the LINE to send a notification. So LINE Yahoo! working together, that was something that worked. So we would like to continue to do this. So in Q4 and the level of the Q4 growth is something that we would like to continue. As for the cost every month and every quarter, depending on whether we have a sales promotion, there would be a difference. But throughout the year, the variable cost, we would like to maintain the level of FY '23 and increase the top line. So discipline cost and the continuous growth is something that we'd like to realize.
Operator: The next person is from JPMorgan, Ms. Mori.
Haruka Mori: My first question is also about the security incident. In your explanation today and the required investment you talked about, is it already pretty precise estimate wise because you got two guidance -- administrative guidances from the ministry. So it's mount a sufficient amount. And for the services domain, -- and the update in July, is it just going to be about this portion? Or is there going to be -- are there other items that you see that you may need to account for in order to avert further administrative guidances. So you were saying this was a rough amount but what is the risk of this amount inflating? Should we expect more? So I'm sorry for branching out. But for ID linkage postponement between LINE and Yahoo!, are there any impact on PayPay? So that's my first question. And I'm sorry it's full of questions. My second question is in 26 March, you have disclosed an EPS target this time around. But with organic profit growth only, it seems to be a difficult target to achieve. So how do you foresee the buildout of net profit? And is this assumed are share buybacks as part of your assumption? So can you give us your view on how you are likely to achieve JPY20 or more.
Takeshi Idezawa: So Mr. Sakaue will take both questions. And if necessary, I would add some comments.
Ryosuke Sakaue: So for the security measures, first, for the employee systems which is half of JPY15 billion as of April to May [ph], we have updated them with the schedule. So we'll be following that schedule. So from here on, whether or not the amount is going to increase substantially. As Mr. Idezawa mentioned, we might try to accelerate efforts. However, at this point in time, we're not expecting a substantial increase. So for the remaining half, towards July we will be talking with the Ministry of General Affairs. So this is a rough amount that we're estimating. And with NAVER and the consignment, we have in place currently. We are going to be terminating the consignment. Some might be outstanding by a certain degree but of the assumption that it is going to be terminated. We are estimating how many man hours it's going to take in order to internalize. And as Phase 1, we do have a rough estimate in place and that is why we have said that it's going to be half of the JPY15 billion. So from here on, at this point in time, we are not expecting any major changes. So for PayPay and the ID linkage. So PayPay wise, of course, we are targeting an IPO eventually in the future. But when it comes to timing, we don't have any specific plans. So the postponement of ID linkage because we don't even have an IPO plan in place to begin with, it is not going to have any implications. And secondly, regarding the EPS JPY20 target for 25, I can say 2 points about this. One is to grow EBITDA firmly -- that would be the most biggest contributor in reaching the JPY20 target. In addition to that, were equity accounted investments for affiliates that are currently loss making is in the scale of JPY15 billion to JPY20 billion when you look at the equity accounted losses and by 2025, we would like to make that zero. And we would like to ensure that we are able to achieve that. And if there are any affiliates that are not able to achieve this target, we will be selective in our strategy. So EBITDA improvements and equity accounted losses being gone will enable us to achieve JPY20. That's our plan. Share buyback wise, we are not accounting for any in this plan at this moment. If you have anything to add?
Takeshi Idezawa: No, I don't.
Ryosuke Sakaue: That's all for me.
Haruka Mori: So is JPY20 EPS a commitment?
Ryosuke Sakaue: Well, we do believe we need to do a good job to achieve the target, yes.
Operator: Next is from Goldman Sachs Securities. We have Ms. Munakata.
Minami Munakata: My name is Munakata of Goldman Sachs. I have two questions. The first question is about the account linkage and the progress of it. This time, the linkage with the PayPay will be delayed or postponed. And in the previous earnings call, -- so $22.3 million, $23.22 million was mentioned. And the Yahoo! Premium has increased by $1 million. So incorporating that, I think there has been a steady progress. Is that what you're seeing? And this incident impact on the users' engagement and account and so forth, do you have any information on that? Or do you have any feelings on that? That's my first question. The second is about the media business. So this guidance this time shows that the revenue -- the low single-digit growth is what you expect. So if you have any product-wise breakdown of that, Google also had the admitted guidance. And in the past, what was the impact? And what would be the positive impact that you can expect? And how much of that is included in your guidance?
Takeshi Idezawa: First of all, I'd like to answer to your questions. And the product-by-product answer will be given by Mr. Sakaue. About the account linkage, yes, we are making a good progress. Based on the Yahoo! Japan ID, the linkage is about currently 50% or so. And this is on track. Also, about the Google administrative guidance the syndication model business, right now -- it is not the business that can be restarted. So the impact on the performance is, I would say, flat -- so -- and also about the media, the details will be given by Sakaue-san.
Ryosuke Sakaue: But account ads FY '23 at the same level, about 15% to 20%, that will be the range to grow and we are making such growth. And the second is the search ads, a partner website the lower revenue is expected to continue. So flat to maybe lower year-on-year is the situation for the search ads. As for the display ad, the low single digit and in Q4 level or '23 level. So that level is likely to continue. And so low single digit is the number that we expect. But as for the events for the FY '24 is the search partner website that continues to be difficult to adapt. So profitability is not so good to start with. So impact on the overall profit will be limited. And second is the cookies in relation to the cookies in FY '25 early first half, there will be a regulation and that was expected. And that's something that we had in the past. But in the area of that advertising, there are things that we are not still seeing. So we have been conservative, so low single digit is what we are saying to be conservative. So about the search, media mix is going to change. So gross profit base, the middle of the single digit is what we can say about the revenues. About the Google impact, this is something that happened several years ago. And in terms of the contract with Google, any restrictions or anything do not exist. So in FY '24, it doesn't mean that there are any upside. That's all.
Minami Munakata: Just one follow-up question. About the incident. Did the incident have any impact on the engagement of the users?
Takeshi Idezawa: I think that's one of the concerns that investors have. As of now, no, we haven't seen any impact on the engagement taking the good security measure to improve the trust is more important. So that's what we would like to do.
Operator: Next person is from Citigroup. Mr. Tsuruo, over to you.
Mitsunobu Tsuruo: A lot of my questions already have been covered. So I have two questions, including basic ones. First, -- on Page 37 in the deck, you were talking about next fiscal year's EPS target for next fiscal year but what about for this fiscal year, EBITDA-wise, 7%-plus growth is expected but EPS is expected to be flattish or down on an underlying basis, where EBITDA and EPS, there are various items in between. But EPS, why are you expecting it to decline. Second question is related to this. For TSE Prime, in order to maintain your listing, a certain degree of share buybacks is needed. So what is your view on this at this point in time. Regarding the capital relationship with NAVER, I believe there are various factors associated with this. So you might not be able to comment as much but please state your view.
Takeshi Idezawa: So Mr. Sakaue will respond.
Ryosuke Sakaue: For 2024 EPS, EBITDA, is it likely to increase, as you can see here. We haven't been able to -- for EBITDA and under need for the other items that we don't state here. On this slide, at the time of integration, the tax impact has been excluded. But for fiscal '23, WEBTOON, the deemed sales gain was included but this is going to be absent and also for fund investments, where LP investments are made towards fiscal '23, there were some evaluation gains in the scale of several billions of yen. Also, interest rates were high in 2023. So there was some interest income underneath the OP line. So apologies that the details are not here but the fire-related losses at ASKUL for OP and EBITDA for the items that are included, it was JPY9.4 billion. But outside of that, there was a litigation. So there were some losses associated with that. And that is recognized underneath the OP line. So that was something that was extraordinary in fiscal '23. So that was some impact as well, around JPY1 or JPY2 of an impact on EPS. But the guidance is broadly flat because of the extraordinary items in fiscal '23. So for fiscal '24, maybe interest income or valuation gains, we have not assumed for them in our outlook. That is how we put together the guidance. So I'm sorry that my reply was full of comments but regarding your second question, as you know, at this point in time. And the administrative guidance regarding the security incident, we are asked to review our capital relationship. So for the two shareholders of A Holdings, they are having negotiations in talks. So priority is being put on negotiations as of now. So we are waiting to see its outcome.
Mitsunobu Tsuruo: One follow-up question. For the JPY15 billion security-related investments is that recognized as EBITDA expense and like and is going to have impact on EPS?
Takeshi Idezawa: As of now, yes.
Operator: Next is from CLSA Securities. We have Mr. Oliver Matthew.
Oliver Matthew: I have a question on the change in your board structure. It seems a strange time to change the Board structure given that the ownership discussions are still going on. Also, could you explain a bit more, how you want this board to work because it seems you are lacking people with experience in the Internet business. I understand there's more external Board members but they don't seem to have the experience to be guiding management on strategy. So it just seems strange to make these changes at the moment. Could you explain more on the thinking about this?
Takeshi Idezawa: Thank you for your question about the timing. On June 18, we will have at the shareholders' meeting. And this time is a good timing in order to decide the new Board members. And so why this structure? I may explain actually the outside director was not the majority of BOD. And we have a parent child listing. So we have continued to discuss this matter for some time. So that's one of the assumptions. And at this time, we had the security incident. So based on that, we wanted to make sure that we have a good corporate governance. So based on that, we wanted to change the structure so that we can separate the management from the execution and to enhance the governance so that we have a majority of the Board members as outside independent members. So we can incorporate the diversified ideas so that we can make a decision without any fixed way of thinking of prejudices. So I myself and Kawabe, as Board members, we will be focused on the corporate governance enhancement. And Oketani, who will be retiring from the BOD but the CSO and CPO and Mr. Shin as well, they would focus on the business side. So that would be how we would like to separate the management and the execution so that those directors can really focus on what they do. So the Board members and the execution of the management -- sorry, the management execution will be clearly separated. So we believe that this would contribute to the company management as a whole. But in order to respond to your questions, I've talked about the timing and also the members of the outside Board Directors. Those are the reasons.
Oliver Matthew: Okay. So the second question on the revenue growth opportunities. Could you just comment, where might the areas of upside be if things work out in a positive scenario for you? Do you think the advertising results could surprise on the upside? Or what would you need to believe to think that the advertising revenues could be higher than your guidance? What kind of scenarios can you imagine?
Takeshi Idezawa: First of all, the entire company, the growth rate will be high in the finance businesses. So we have a high expectation from that. Right now, there were some questions on the advertising. So in the area of the ads, the official advertising account is likely to grow steadily. So this year, we have various measures that we'll be taking. So additional growth is something that we expect but in terms of volume, the highest is the display ads. So as Sakaue mentioned earlier, we are being conservative to some extent. In terms of upside, the data utilization is something that we are very much focused upon. We are doing this from the different angles. So machine learning, use of AI is something that we are trying to do. So through those, we hope that we can increase the per customer spend and also the revenue of the advertising. If we can do so, I think that could be an upside. So I would like to make sure that we make the corporate-wide company-wide efforts to do so. That may answer to your question.
Operator: Thank you very much. Next is from Nomura Securities, Mr. Masuno.
Daisaku Masuno: This is Masuno from Nomura. I have two questions. The first one is about your company's target and the way you communicate them. I think there is room for improvement. For example, adjusted EBITDA, you were saying JPY390 billion as of Q3. The consensus was JPY400 billion and you were looked at as a company that you're not going to be able to achieve the target. And then because you had -- you were able to exceed JPY400 billion, even if you exclude the JPY9.4 billion of ASKUL. So I was thinking that you're being too conservative cause of confusion in the market, I think. And also, on top of that, for this fiscal year, adjusted EBITDA, it is going to grow by 3.6% to 6.0%. But then the onetime gain of JPY9.4 billion is included. And then when you think about that and adjust it, it doesn't make sense because you typically will take them out and also for EPS, the ASKUL item is not adjusted. And the WEBTOON OP, the gains are still in place. So although you're calling it adjusted EPS, it's not really adjusted. So when you just look at that single number, I think it is misleading. So that's why I think there's improvement opportunities -- JPY430 billion to JPY440 billion. If you exclude ASKUL, it's going to grow by 6% to 8.5%. But then you also have the security investment of JPY15 billion. So if you exclude JPY15 billion, you should be able to grow by 10% EBITDA on an organic basis. So advertisement is going to improve. And for commerce, superficially, adjusted EBITDA growth, looks like it's only 2% growth. But the JPY9.4 billion from ASKUL, if you take that out, it should be growing by 10% on an underlying basis for adjusted and also for PayPay, too, it's growing. So your core businesses are actually growing by 10%. So I really think that it's the way of communicating that so that you could avoid misleading, understanding of your comments. So that's my first request. And secondly, regarding capital policy, I think there was some confusion there as well and I'm always confused. And now Page 39 says share buyback and JPY515 billion of buffers. And then you need to also increase the floating ratio due to prime standards. So it seems that one single person is talking about 2 different things. So I'm always confused as to what you're actually going to do. So comprehensively, you may have direction A and B. But overall, if you can specify which direction you're looking at, we're heading towards in your communication, that will be better. So that's another request I have for you. So it's kind of a comment more than a question. So I think you could be a little bit more creative. So what are your thoughts around this?
Takeshi Idezawa: Thank you for your comment or your valuable comment. What you pointed out is I think what you pointed out is something that's valid. So we would like to discuss those affairs internally as well. Mr. Sakaue will also respond.
Ryosuke Sakaue: Yes. Thank you. I think you're right to a certain degree. So regarding way of thinking, we would like to make improvements accordingly. So when you look at just core earnings, I think people will get a different impression on your business.
Operator: From Okasan Securities, we have Okumura-san.
Yusuke Okumura: Okumura speaking from Okasan Securities. I have two questions. First, is Yahoo! and LINE ID linkage. As of now, among the users, the kind of gradual sharing of the information is being done. But in order to increase the spend, the personal information related at the account linkage. In light of this incident, is it really possible to do. And as for the timing, after ending all the measures in response to the ministry's guidance. What do you think that you can do this and when you would be able to do this? My second question, kind of a negative question, I'm afraid. But about the goodwill of line, this time, the vis-à-vis neighbor the outsourcing relationship and also the capital relationship. And when you consider all of them, is there an impairment risk of the goodwill of the line. I understand that you have different views. And for example, the PBR of less than 1 is one of the factors. But if there is no risk as an outsider which part of the cash flow or other information that we should be focus to find or to understand about the risk? So that's my second question.
Takeshi Idezawa: I'd like to respond to the first question and the second question will be answered by Ikehata-san. So about the ID linkage, yes, we are making a good progress. And Makoto-san [ph] said further linkage that is the ID integration, I think. So as of now, concerning that, we have not yet decided when we would do so. We'd like to make sure that we increase the ID linkage percentage. And then by analyzing the data, we think that we can expect a certain level of effect. So that's the current status. So in relation to the administrative guidance about this progress, whether there is an impact on this. As of now, no impact is being seen.
Yuki Ikehata: Thank you. To your question, I'd like to answer. I am Ikehata. So about the ID linkage, the impact or effect of the advertising, -- in your question, you mentioned the private information, personal information. So there are various, for example, the preference and the hobbies and other personal preferences which can be utilized or converted to the sales. There are various information. So together with the ID linkage, something that can contribute to the advertising about the users and segment. I would like to create a situation where we can more effectively utilize them and that would contribute to the ad sales. And in addition, to make further contribution in the advertising. So it's not just creating the platform or foundation to utilize data so that we can expand the area of the activities. So with this administrative guidance, there is no restriction due to the guidance. And so there are many things that we can do within this range of the administrated guidance and others. So to your second question about the revisiting the -- sorry, about the goodwill of line, the impairment loss and we do not believe there is such risk as of now. How to test the impairment loss? It's by BU. So for media, so within the media segment, lined and the Yahoo! and including the search ad, we would add them all to find out the profitability to make a valuation or judgment about line impairment loss. And it's basically mostly media. It's linked to the media. So media business and advertising as long as they are okay, there will be no risk of the impairment. And as you know, the advertising business is very profitable. It is not the condition where we are likely to have a deficit. So the goodwill of the line, having the impairment potential impairment loss is not something that we see at this moment.
Yusuke Okumura: One follow-up point. But the dental linkage, when you consider the monetization using that for the financial market or subsidiaries linking with ZOZO or ASKUL. Aside from the timing, there are no restrictions to do so eventually. Is that correct?
Yuki Ikehata: Well, what we talked about is the LINE and Yahoo! ID linkage and account linkage. So in that sense, in the finance, there is PayPay. So ID linkage with PayPay, as we talked about in the presentation, we used to say that it's within the FI but it's been postponed. So PayPay and the financial business linking with them based on the administrated finance, we would like to focus more on what is happening right now. So that is the current status.
Operator: Now it is close to ending the meeting, so we would like to take the final question. Mr. Kishimoto from Mizuho Securities.
Akitomo Kishimoto: This is Kishimoto from Mizuho. I just have one single question. On Page 36 of the presentation, you were talking about product reinforcement and JPY15 billion of an increase. I think this is in accordance with top line growth. So can you talk about the way sales promotion expenses are likely to grow by scenario? If top revenue goes up and if you're going to step on the accelerator, how is it going to look like margin-wise or our margin is going to go down -- if it's better than expected, what is the impact on margins? So conversely, if things are severe, what are margins going to look like?
Takeshi Idezawa: I'd like to take that question. So we will be making disciplined investments. Cost optimization policies from '23 will be sustained. So LTV/CAC will be checked as we make the investments. So margin-wise, we are not expecting margin deterioration from fiscal '23. And Media and Commerce segment are expected to generate margins that are similar to '23. Strategy-wise, we will see more profits, so margins should improve and are likely to increase up to 5%. And for sales promotion, it's mainly going to be related to Media, LYP Premium and like I explained earlier, well LYP Premium. So those are the areas we're planning to invest into for LYP Premium, we get monthly sales and it's really easy to get visibility and we are able to measure lifetime value as well, even if our subscribers were to drop out. But in any case, we would like to make disciplined investments.
Operator: Thank you. This concludes LINE Yahoo! Corporation's Fiscal '23 full year and Q4 results briefing. Thank you very much for joining us until the end.